Operator: Greetings and welcome to the Freshpet, Inc. Second Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to your host, Mr. Jeff Sonnek, Investor Relations at ICR. Thank you. You may begin.
Jeff Sonnek: Thank you. Good morning and welcome to Freshpet's second quarter 2023 earnings call and webcast. On today's call are Billy Cyr, Chief Executive Officer; and Todd Cunfer, Chief Financial Officer; Scott Morris, Chief Operating Officer, will also be available with us for Q&A. Before we begin, please remember that during the course of this call, management may make forward-looking statements within the meaning of the federal securities laws. These statements are based on management's current expectations and beliefs and involve risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Please refer to the company's annual report on Form 10-K filed with the SEC and the company's press release issued today for a detailed discussion of the risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. Please note that on today's call, management will refer to certain non-GAAP financial measures such as EBITDA and adjusted EBITDA among others. While the company believes these non-GAAP financial measures provide useful information for investors, the presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Please refer to today's press release on how management defines such non-GAAP measures, a reconciliation of the non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP and limitations associated with such non-GAAP measures. Finally, the company has produced a presentation that contains many of the key metrics that will be discussed on this call, that presentation can be found on the company's investor website. Management's commentary will not specifically walk through the presentation on the call rather it's a summary of the results and guidance they will discuss today. Additionally, we'd ask that your questions remain focused on the performance of the business and the results in the quarter. Management will not discuss the upcoming Annual Stockholders' Meeting or other topics beyond what is being reported here today. With that I'd now like to turn the call over to Billy Cyr, Chief Executive Officer. Billy?
Billy Cyr: Thank you, Jeff, and good morning, everyone. The message I would like you to take away from today's call is that the Freshpet business has real momentum on both the top line and the bottom line. In both areas, growth and operating efficiency, we believe that we're still just scratching the surface of the enormous opportunity ahead of us and remain convinced that Freshpet food is the future of pet food and we believe that Freshpet is very well positioned to lead the transition to fresh for many years to come. In Q2, we made significant progress on the adjusted EBITDA improvement that we committed to delivering this year, while simultaneously re-accelerating the household penetration and volume growth that supports both our near-term and long-term growth targets. The operational improvements are the result of the intense focus and organizational capability we've built in the areas of quality, logistics and input costs and in improving operating environment. The re-acceleration, household penetration volume growth are the result of our unwavering focus on three foundational pillars that underpin our strategy. The strength of Freshpet proposition, the exceptional support of our customers and our long-standing demonstrated marketing and innovation mastery. I will share a few highlights of our performance and a few thoughts on the outlook for the balance of the year and then Todd will provide more detail on the quarter and an update on our guidance for the year. The highlights are, first, strong net sales growth. We delivered 26% net sales growth in the second quarter and our 20th consecutive quarter with greater than 25% growth. This quarter's growth was in line with the guidance we shared for the quarter that called for mid-20s growth and puts us on track to deliver our 2023 plan and our 2027 goal of $1.8 billion in net sales. What is most encouraging is that unlike many other CPG companies, our volume consumption was strong and the growth is accelerating as the year-on-year benefits of higher pricing recede. Consumption volume growth in the quarter accelerated to 18% up from 14% in Q1 and 12% in Q4 of 2022. Pricing and mix contributed a little more than 7% to our growth in the quarter. Second, household penetration growth. As we had anticipated, household penetration growth re-accelerated in the quarter once consumers digested the higher pricing that we've implemented over the past 18 months. The 52-week household penetration was up 10% versus a year ago and the more near-term meetings such as the 13-week and 4-week measures are up even higher which foreshadows a positive momentum for the annual growth rate. Encouragingly, the rate of growth amongst our heaviest users, HIPPOs, was higher yet up 17% versus a year ago in the quarter on a trailing 52-week basis. Additionally, the buying rate for our franchise remains well ahead of our expectations and was up 19% versus a year ago. Third, adjusted EBITDA well ahead of guidance. This was a breakout quarter for our operations team. As we discussed on our last call, second quarter adjusted EBITDA was expected to be in line with Q1 and weighed down by the heavy start-up costs in Ennis and the start-up of our Dallas DC. We greatly exceeded those expectations due to strong performance across every part of the P&L, with the biggest improvement coming in logistics. Our logistics costs improved by 350 basis points versus a year ago and 130 basis points versus Q1, primarily due to strong fill rates and the successful utilization of our second DC. But we also had a strong performance on input costs, quality costs and SG&A. As a result of this strong performance and the continued improvement we are seeing, we are raising our adjusted EBITDA guidance for the year. Todd will provide more detail and the rationale for that. But you should take away that we are very encouraged by the improvements we've made in the efficiency of our operations and confident in our ability to drive further improvements. You should also take away that we are well on track to deliver the cost improvements embedded in our 2027 goals. Fourth, we proved that Freshpet to grow strongly even when prices at levels that reflect the higher commodity costs. We've now taken price increases totaling a cumulative impact of approximately 27% over the past 18 months to reflect the higher input costs we have absorbed. Despite this higher pricing, volume growth continues to be strong and is accelerating. This demonstrates the strength of our brand and the Freshpet consumer proposition. Input costs, as a percent of net sales came in at 34.4%, a 240 basis point improvement versus the year ago. This reflects the full impact of February price increase and a more stable input cost environment. With these gains in hand, we are well on our way to achieving the necessary savings that underpin our 2027 goal and we believe we have an opportunity to drive further operating improvements in areas such as production yield, cost savings initiatives, and some increasing scale benefits and purchasing. However, our goal is to make Freshpet accessible to the broadest range of consumers that we can, and improving cost environment will help us to avoid further price increases while efficiency improvements will generally be used to restore our margins and generate higher returns on our invested capital. Fifth, the Ennis Kitchen start-up continues to deliver. The Ennis Kitchen is now operating one bag line and one roll line on the 24/7 schedule and the chicken processing operation is up and running, providing large quantities of chicken to our operations as planned. We are also producing the full range of SKUs that were planned for the Ennis facility. These demonstrate the thoughtful execution of our operating team and we remain very optimistic about future gains we can realize as we ramp up to full efficiency to support our long-term growth. We are in the early stages of planning to start up the second bag line in Ennis and expect to be producing on that line in Q1 of next year, which means that we will begin hiring the staff and then commissioning that line in the second half of this year. Finally, construction on Phase 2 is well underway and the steel frame of the building has gone up. The first line in Phase 2 is expected to begin production late in Q3 of next year, which is when we anticipate that we will need that capacity to support our growth. Sixth, record levels of customer support. During Q2, we saw several major customers begin the implementation of very large-scale fridge placement efforts including the largest single project in our history where we began a two-month effort to place more than 2300 fridges at a single customer in late June. Many of those fridges were upgrades second or third fridges, but that program demonstrates their interest and commitment in capturing very large shares of the Freshpet -- growing Freshpet pet food category. In the quarter, we placed a total of 1385 new fridges with 313 of them being net new stores and the balance were upgrades, second and third fridges in existing outlets. For the year, we continue to expect to install more than 5,000 new fridges which will similarly be heavily skewed to stores where we are placing second and third fridges. By the end of the year, we expect to have more than 1.7 million cubic feet refrigerated space at retail. Seventh, continued to strengthen our Board. In the past three months, we've made some excellent additions to our Board. In May, we announced the appointment of Dave Biegger, the former Chief Supply Chain Officer for Conagra and Campbell Soup to our Board. Dave brings highly relevant perishable food operations expertise to our business. Two weeks ago, we announced that Dave West has joined our Board, Dave is the former CEO of Big Heart Pet, which is now part of J.M. Smucker and prior to that he was the CEO and CFO of Hershey and most recently, he was the Vice Chairman of Simply Good Foods. Dave brings deep pet industry expertise, strong financial acumen, and an appreciation for the unique challenges of high-growth businesses. Dave will join our audit committee. Finally, we announced that Walt George was selected as our new Board Chair. Walter's replacing Charlie Norris who just retired in accordance with the mandatory retirement policy we put in place as part of our five-year governance transformation plan that we announced in 2020. Charlie champions that plan despite the knowledge that it would compel him to retire this year. We are incredibly grateful to Charlie for his vision and support over so many years. He shepherded Freshpet from a company with $5 million in sales to one with a projected $750 million in sales this year and even personally guaranteed the --- the debt of the company at a perilous moment early in its life. Walt will step into the Chairman's seat seamlessly. He's been on the Board since the company went public in 2014 and has deep knowledge of both the company and the pet industry. Walt began his career in operations at Frito-Lay, but more importantly, he was a key executive at Hill's Science Diet during its rapid growth from $185 million in net sales to $1.5 billion, that gives him unique insight into the challenges of building a large pet food brand and creating a supply network capable of supporting that growth. Walt is also deeply committed to advancing the health of companion animals as he serves as an officer on the board of the Morris Animal Foundation, which is one of the largest non-profit organizations worldwide funding scientific studies to advance the health and well-being of companion animals. These Board changes punctuate a multi-year effort to strengthen our company and better prepare us to pursue our mission to change the way people feed their pets forever. These changes also demonstrate our commitment to evolving our Board to meet our changing needs in parallel with the five-year governance transformation plan that we initiated in 2020. That plan and the Board evolution are built on a philosophy that our Board's governance practices and the counsel they provide to our leadership team should match the increasing scale and complexity of our business and be capable of addressing the emerging challenges we will encounter in the years ahead. Our efforts to strengthen our human capital touched every part of our organization. Two years ago, we announced our investment in the Freshpet Academy, which has stabilized and strengthened our production workforce dramatically reducing turnover and building critical skills that have delivered the results we are sharing today. Last September, we announced several impactful changes to our management team and have filled numerous roles since then, including a new CFO, a new EVP of Manufacturing and Supply Chain, a new Head of Logistics, a new CIO, a new VP of Manufacturing and numerous other important roles. Each of these was needed to both strengthen our team and support our rapid growth. Looking forward, I expect that our efforts will deliver continued improvement in our operations and increasingly strong volume and household penetration-based growth. Our team is very focused on the goals we set for this year and is delivering the kind of performance you should expect from us. We believe that the strengthened team we have built everywhere from our production floor to our finance team to our logistics team to our marketing and sales team and more is only scratching the surface of what is possible. We are very focused on delivering the 2027 goals we laid out earlier this year in our Fresh Future plan and doing it as quickly as we can. We are building momentum and our results to date show that we are on track to deliver those goals. Now let me turn it over to Todd for the details on the Q2 results. Todd?
Todd Cunfer: Thank you, Billy, and good morning, everyone. As Billy said, in Q2, we continued the strong performance we saw earlier this year and have raised our adjusted EBITDA guidance to reflect that strength. Let me break it down a bit further. Net sales came in at $183.3 million, up 26% versus a year ago. Our net price mix was up slightly more than 7% versus a year ago in the quarter and volume grew around 18%. Total Nielsen measured dollar growth was up 23% versus a year ago in the quarter, but our growth in non-measured channels was much stronger and added about 2.5 points to our measured channel's growth. The growth was broad-based across channels ranging from a low of 15% in the pet specialty channel to 25% in xAOC and greater than 50% in the unmeasured channels. Adjusted gross margin was 39.8% in Q2, 110 basis points better than a year ago and above our base expectations. This improved performance was due to a variety of factors including improvements in the cost of inputs, quality, better pricing, and a solid start-up in Ennis. All aspects of our operational improvement plan that our team is focused on. We expect these elements will continue to improve as we move forward and drive continued margin enhancement. As we ramp up production in Ennis in both our operations and in chicken processing, we will have some margin dilution due to the less-than-full utilization of our capacity and the cost of incremental staffing as we prepare to start off our next line, but we will grow into that over time. The increasing production in Ennis will also make us a much more resilient company able to absorb the kinds of incidentals supply issues that we struggled with in previous years and also lower our total logistics costs. Total adjusted SG&A was 34.9% of net sales, down from 40% in the year-ago quarter. The biggest improvement was in logistics, where we gained 350 basis points due to strong fill rates, the increased utilization of our second DC, favorable lane rates, and lower diesel costs. We spent a healthy 14.8% net sales in media in the quarter, but this was below the 16.4% we spent in the year-ago quarter when we leaned into first-half media to offset the impact of the February 2022, 12% price increase. Year-on-year, however, media spending was up $3.5 million. The balance of our SG&A costs were flat as a percentage of sales versus the year ago. Adjusted EBITDA was $9 million in Q2. That is considerably better than the expectation we had initially provided and was primarily due to the strong operating performance in COGS and logistics in addition to a modest shift in SG&A spending from Q2 to Q3. For the year, we have delivered $12 million in adjusted EBITDA to date, well ahead of the initial expectations we set at the outset of the year. Capital spending in the quarter came in slightly below the most recent expectations at $45 million, largely due to sequencing of some sizable expenses in Ennis related to completion of the first production building, the chicken processing facility and the early stages of construction of Phase 2. There is no change in our outlook for capital spending this year which remains at $240 million. Our cash position is very strong. For the remainder of the year, we expect interest income and interest expense to largely offset each other. We believe that we have adequate cash to fully fund our growth through 2024 and we will be free cash flow positive in 2026. We also believe that we will have access to traditional non-dilutive forms of capital to bridge the gap in 2025 if it occurs. In terms of the cadence of our business for the balance of 2023, we expect to continue the strong growth we demonstrated in the first half, but the net sales growth will increasingly be driven by volume growth versus pricing growth. In Q1, we had a 14% benefit from pricing in Q2 that dropped to 8%, and by Q4, it will be less than 5%. We expect the volume growth rate to continue to increase from the 18% we experienced in Q2 and be in the mid-20s by year-end. We expect that Nielsen measured consumption growth which is measured in dollars will continue to -- will continue to grow from the mid-20s where it was in Q2 and from the upper-20s, where it is now, to around 30% by the end of the year. Our non-measured channel growth rate will be even stronger as the business is growing quickly and accelerating. The net sales growth rate versus a year ago will be stronger in Q3 than Q4 as we had a very large trade inventory refill in the year-ago during Q4. While it's very difficult to determine the amount of that trade inventory refill, we did have a gap of 10 points between the net sales growth rate and the Nielsen measured growth rate in Q4 of 2022. So we estimate that the trade inventory refill that occurred last year was in the $10 million to $15 million range. Separately, last year's Q3 had some supply interruptions due to the recall we had and that will also make this year's year-on-year comparison a bit more favorable in Q3 than in Q4. We continue to see continuing improvement in our operating costs in Q3 as we build scale in Ennis and continue the strong delivery we have already seen in logistics and quality. However, we will be adding staffing in the back half of the year in anticipation of meeting the demand we'll experience in Q1 of 2024 and that will impact adjusted gross margin. Despite the additional staffing, we expect the second half will generate significant improvement in adjusted gross margin versus prior year, with adjusted gross margins in the 38% to 39% range. In terms of inflation, we continue to see modest inflation in some portions of our cost structure, typically, those costs with a heavy labor component, but we're also seeing relief on some other commodities that were badly constrained over the past year or two. At this point, over 90% of our costs are locked in for the year. So there is little upside opportunity or downside risk on input costs this year and it's too early to tell what next year's total cost basket will look like. In the back half of the year, we will also benefit from lower media spending as a percent of net sales than we had in the first half. Recall, our plan for this year includes a first-half second-half split on media investment of two-thirds versus one-third. Unlike last year, though, we will have a meaningful media presence in Q4. This translates to media spending in the back half of the year that we expect to be up around $15 million versus the second half of 2022. Now, let me turn to our guidance for the balance of the year, given our -- given outperformance for the first half, we are raising our adjusted EBITDA guidance for the year to reflect some of that performance, but we will also leave us some room to absorb unexpected issues. Thus we are raising our adjusted EBITDA guidance to at least $55 million from at least $50 million. With net sales continuing to build each quarter and Q4 historically being our lightest media investment period, we expect approximately half of our full-year adjusted EBITDA to occur in the fourth quarter. We are reaffirming our net sales guidance of around $750 million for the year at this time. The recent trends in volume and household penetration growth continue to support this plan and we remain confident in our ability to drive the acceleration in growth that our full-year target implies. Finally, I want to provide some perspective on how we are managing our capital spending and capacity expansion projects. Our goal is to support our long-term growth plan without any need for further dilution. We believe our plan and the principles I will outline will achieve that goal. There are two key principles that are guiding our work. Number one, we want to always have adequate capacity to meet consumer demand. Short shifting our customers over the past few years frustrated customers and consumers. Further, we endured unacceptable cost increases in freight and quality when we struggled to keep up with demand. So we always want to have enough capacity to meet demand that will require us to both plan ahead and also leave ourselves some capacity cushion, so that we can absorb unanticipated issues or more rapid growth. Fortunately, Freshpet demand growth is generally very reliable and predictable. So as we return to more normal timetables for construction and equipment lead times, we should be able to match supply and demand better than we have for the past few years. Number two, conversely, we do not want to commit to more capacity than we will need or sooner than we need. Ideally, at any given point in time, we do not want to have more capacity than we might need and have large stranded cost consumer cash prematurely. Our current plan which has us committing to new lines about 18 months before we need them is consistent with this principle. At this point, we are only committed to part of Ennis Phase 2 and that takes our total capacity to almost $1.5 billion. We can comfortably pay for that cash with the cash we already have. We have not made any commitments for the second part of Ennis Phase 2, Ennis Phase 3 or additional lines at Kitchen South. We will only make those commitments when demand justifies it. Further, we do not want to get too far ahead of ourselves on any manufacturing technology, so we will have the ability to implement more efficient technologies as soon as they're ready to commercialize. As you know, we have a team of engineers and meat scientists who have been working for several years on ways to produce Freshpet more efficiently and have some exciting opportunities under development. These principles make me very confident that we will be able to -- able to fulfill our long-term growth expectations with the financial resources that we have and that the business we'll produce. It also provides some advantageous optionality under lower growth scenarios where we can accelerate free cash flow generation should the conditions present themselves, that is certainly not our expectation, but this should give you some comfort about the downside risk of our plan. I also want to be clear that each capital investment we make is with an expectation that we will deliver an after-tax ROIC in the mid-teens. The financial projections we laid out at CAGNY allow us to achieve these ROIC targets. In closing, we are very happy with where we are at the midpoint of the year. We continue to see strong revenue growth and are seeing the rebound in volume growth in household penetration that will enable us to deliver on our long-term mission to change the way people nurse their pets. The operations' improvement plan we put in place last September has now produced strong and consistent improvements that put us on track or ahead of the glide path needed to achieve our long-term margin targets. We have successfully started up our most significant capacity expansion effort, Ennis, and expanded our capability to include onsite chicken processing successfully. And our customers are leaning into the fresh category by adding second and third fridges at a rapid rate. In total, that leaves us feeling very bullish about our future and our ability to deliver our long-term goals. That concludes our review. We will now be glad to answer your questions. And as a reminder, please focus your questions on the quarter and the company's operations. Operator?
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from the line of Mark Astrachan with Stifel. Please proceed with your question.
Mark Astrachan: Hey. Thanks. Good morning, everybody.
Scott Morris: Good morning.
Mark Astrachan: I guess I'll ask about media spend and sort of how you're thinking about that. In terms of the timing through the year, I get that. But in terms of what it's bringing in, how you're spending relative to a few years ago is still as efficient as it was in terms of the historic correlation, how are you spending it versus social media other sort of new age media purchases versus more traditional. Are you aiming it at new consumers, is it aimed at existing users, how do you think about who you're bringing and how you think about the returns on the different cohorts of folks? And maybe if you could give an update on how you're thinking about the cohorts in terms of repurchases as it relates to the media spend that'll be helpful. Thank you.
Scott Morris: Hey, Mark. Good morning. So I think like, historically, we've always been heavily weighted towards the front half of the year from our total media spend, and this year, we have actually more money budgeted towards -- a little bit more budgeted in total dollars towards the back half of this year. So for kind of where we are year-to-date, if you look at our overall media plan and the timing and correlation around household penetration, we were waiting for an inflection point and we're hoping to see it in February and it really started happening in late February, early March. So it was kind of times similarly to what we've seen in the past. If you look at the overall year, we're slightly above our historical on kind of dollars per consumer. So it's cost us a little bit more to get consumers year-to-date, but if you look at the period since that inflection point, it's actually starting to perform well right back in the norm. And I think this goes back to a much broader piece that we're seeing on the business. To be back in stock consistently with full fridges plus the media plus the innovation and all of those things working together, it's what's driving those efficiencies and I think we were still between pricing and not being consistently back in stock and really smooth the supply chain until kind of over the course of Q1. I think that was holding us back. So we're really excited to see the media respond to really kind of drive the household penetration and the thing I think we're most excited about is to be able to see that it's not just driving dollars that we're seeing really, really great progress on a pounds and units front, which I think is pretty unique based on the category and also across CPG. And you asked a little bit about cohorts, you asked about media mix. So the thing that I would probably celebrate is both our marketing team and our partners have done year after year after year have done an amazing job continuing to evolve our mix of media to make sure that it's productive as we spend more and as we get deeper into our total addressable market. They've been able to do that consistently and I think it gives us incredible confidence in what we, what the potential of the business is over time. You'll see us more and more even before the writers' strike, you'll see us more and more around sports. We've been testing sports over the past year, they've been incredibly productive for us. We're pressing into some new channels from a digital and even kind of e-commerce standpoint, that's been helpful to us, and we are very, very committed to be -- being, I always refer to it as media agnostic, meaning we want to do a lot of testing, we want to figure out what's productive and that's where we're going to spend our dollars. There is -- there is no dollars that we're spending that are for glory and fame. It literally comes down to the strict payout and I think that our analytics around that are best-in-class and best in the industry. From a cohort repeat basis, one of the things that's mentioned in I think in the script and also in the presentation is not only seeing overall penetration growth, but we're seeing really strong growth from the HIPPOs. Those are the high-profit pet-owning households. Those are the people that tend to have either multiple dogs, bigger dogs, and they spend more with us. We're seeing really strong performance from that group, really nice consistent repeat purchases over time. And we -- the way we always think about it is and we do a lot of work around LTVs, like, what's the long-term value of these consumers? And we are seeing that the long-term value of the consumer groups continue to perform and continue to grow year in and year out. And I think it's another kind of sign of a really kind of healthy fundamental business. So I know that you -- there were a lot of questions in there. So hopefully, I hit on the majority of them.
Mark Astrachan: That's great. Thanks, Scott.
Operator: Thank you. Our next question comes from the line of Peter Benedict with Baird. Please proceed with your question.
Peter Benedict: All right, guys, good morning. I was hoping maybe you can expand a little bit more on the unmeasured channel growth, how strong that's been. Just some more color on what's driving that and how you see kind of the durability of that above average growth?
Scott Morris: Hey, Peter. Good morning. So we have continued to see a really, really nice expansion and when I say expansion, just continued strong and leading growth in the non-measured channel, and those that centered around both club and e-commerce, the e-commerce is still on the smaller side of our business, but we're recognized and I was just mentioning a lot about the marketing performance that we've seen. We've been able to see incredible returns, one we're very, very careful and selective around some of the marketing that we've done around e-commerce. So we're really proud of that. The team has done a terrific job and we just love, we love the progress there and we also see the opportunity in that area. We've been a little bit of a laggard in pressing into that area, partially because we just haven't had the inventory for a few years. So we really don't want to kind of press into a new channel as much. So there's a lot of opportunity there. And on the club front, we've been able to get distribution and we've come with a proposition that works for all the different partners. We think it works well for the consumer, works well for the retailer, and then works really well for us and we continue to see really, really nice expansion there. The other thing that's I think important to note, in those unmeasured channels is we've done a pretty significant amount of work and been able to identify that the consumers coming in on those non-measured channels seem to be incremental to the kind of the overall business. So we really, really like that aspect of it.
Peter Benedict: Great. Thanks. And then just follow-up would just be around pricing, Billy, that you mentioned a desire to avoid more price increases. Just curious if you could comment on behaviors you're seeing across your price points, across your assortment, and maybe how you feel about how that set right now. Are there any adjustments that you think you might want to make given demand elasticities across your portfolio? Thanks.
Billy Cyr: Yeah, we feel very good about where we're sitting right now. Obviously, the consumer had to digest 27% pricing in 18 months, and there were some bumps along the way, but we've come out the other side and we feel like we're in a really good place today, the value relationship looks pretty good. The only piece of shift that we've seen is we've seen a little bit more of rolls consumption than bags, but it's very small in the grand scheme of things. For the most part, the consumers, they digest the pricing quite well. It's a little bit hard to see some of the, all the details because our in-stocks have been improving quite a bit since where we were a year ago and that masks some of the price sensitivity you might see. But overall, we feel like we're in a pretty good spot. And frankly, we like where we sit, because the commodities seemed to be somewhat stable, consumers have adopted our pricing. So we feel like we've got a fairly clear smooth sailing for at least the foreseeable future at this point.
Peter Benedict: Great. Thanks so much, guys.
Operator: Thank you. Our next question comes from the line of Michael Lavery with Piper Sandler. Please proceed with your question.
Michael Lavery: Thank you. Good morning.
Billy Cyr: Good morning.
Michael Lavery: Can you just unpack a little bit and help us make sure we understand what drives the volume acceleration in the second half and just how much of the EBITDA guide is tied to that pickup as well?
Billy Cyr: I'll talk about the acceleration and let Todd will talk about the EBITDA pickup, but what's driving is the consumers have digested the pricing and the in-stock conditions look good. We're getting lots of second fridge replacements and the media is on air and working the way it worked historically, as Scott outlined in the earlier question. So it's the, basically, the return to the business model, getting to work without all the bumps and out of stocks and media not necessarily being on air. So it's really back to business as usual. I don't know, you want to talk about back half?
Todd Cunfer: Yeah, back half is pretty simple, it's really two aspects. One is, as you know, we spent more heavily in media in the first half, almost two-thirds of our spend happens in the first half versus second half, so that delta between first half and second half in absolute dollars is almost $25 million, that's a huge chunk of the EBITDA second half weighting there and then just sequentially every quarter, we're anticipating revenue will be larger. And we'll obviously get a variable margin off of that. So those are really the two big pieces and we'll continue to see very favorable logistics costs. I think we will even do a little bit better in the second half than we did in the first half, but those are the big buckets.
Michael Lavery: Okay, that's helpful. And just I know you said it's early for next year and that makes perfect sense as far as some of the input cost visibility, but can you give us a sense of timing of when you have your discussions to lock in chicken? I think you contract that annually. Obviously, those prices have come off and just curious kind of when the sweet spot is for figuring out when you would be locking in for next year and how far away that is?
Billy Cyr: Yeah, I mean, we officially lock in December but the discussions start as early as September and it's sort of dance that goes on between us and the chicken suppliers over that time period, and it's always hard to say because as you think you know the chicken market can move fairly quickly. The growing cycles on chickens is very short and so supply and demand can expand and contract fairly quickly. So we're optimistic, we're encouraged. I do think you have to remember that our price on chicken didn't go up as much as what you'd see in the publicly reported information for chicken for the human market, but, so it doesn't have as much room to go back down, but there is still a little bit of room there. We don't know what we'll see by the time we get to the end of the year, though.
Michael Lavery: Okay, great. Thanks so much.
Operator: Thank you. Our next question comes from the line of Bryan Spillane with Bank of America. Please proceed with your question.
Bryan Spillane: Thanks, operator. Good morning, guys.
Billy Cyr: Good morning.
Scott Morris: Good morning.
Bryan Spillane: Hey, Billy, if I could -- we got a couple of questions on this today and so maybe if you could talk a little bit about, I think, it's slide 30 in the presentation where you lay out the volume growth or the volume chart. And can you talk a little bit about how that looks like on a multiyear stack basis? I think the question that a lot of people have kind of -- has come into my inbox this morning is just how much of the volume acceleration is basically just the comparisons and maybe some distribution fill and just how you gain comfort with that and trying to look at it on some sort of stack basis? So I guess net of it is, how much of it is easy comps versus household penetration and growing again?
Billy Cyr: Yeah, I think the way to think about it is that what you're getting to is in the year-ago period, in the early part of the year, you had a continually elevating price, which is driving a little bit on the price side not necessarily on the pound side. On the pounds, but once the prices stabilize both this year and then a year ago, the pound growth starts accelerating growth and we're seeing on a week-to-week basis, we're seeing the pounds go up very consistently, which is a little bit unusual for this time of the year. For us to be in the summer and see pound consumption increasing week to week, obviously, there's a little bit shift as you go through the weeks of the month, but for the most part, we've been seeing consistent growth on a sequential basis throughout the summer and that's very, very encouraging to us. So we're very bullish on the volume growth side of the story. And we've obviously seen even more data than there but what we can tell you is the volume growth continues to accelerate quite a bit.
Scott Morris: Let me -- I'll just expand on that a tiny bit. So if you take an average of Q4, and this is Nielsen Mega and you basically take that average and you look at where we are to date, we're up about 12% versus kind of that Q4 average in pounds. And so it's been, and it's been, like Billy said, it literally from February forward, every couple of weeks it's been consistently up. So the compare -- I think you can look at comparables, but I think you look at where you were at the end of the year and you look at versus the prior period, and it's been consistently up since February and I mean -- and we -- every couple of weeks, we're setting new records in volume.
Bryan Spillane: Okay. Thanks for that. And then just a quick follow-up to that, I don't, maybe I missed this, but I know you've got the MegaChannel in the slide deck, but you talked about non-measured and some of the other channels, so do you have a composite of all channels kind of what consumption was in the quarter and kind of where it's running now? So if we were because -- We can't see all of those, the other two. So just trying to get a sense of what the composite of all channels looks like consumption-wise.
Billy Cyr: Yeah, so the unmeasured is still a relatively small part of our business. We quoted that volume was up 18% in the quarter and that is the composite that includes the measured and the unmeasured, it's based on our shipment data, so we can use that to project it, and that's the acceleration we've seen quarter-to-quarter 12% to 14% to 18% in this quarter and we're still seeing that continue to accelerate. The big driver of that is the part that's in the unmeasured is, as we said in the call, is growing at a rate that's in excess of 50%. And so while it's relatively small, it is an expanding portion of the growth.
Bryan Spillane: Okay. So we should look at the 18 volume as a decent proxy for consumption. There's not like a lot of inventory or any kind of pipe like new distribution or anything like that?
Billy Cyr: No, that is based on looking at what we shipped and it's also looking at the Nielsen measured numbers as well as what we can track for the customers who are not included in the measured part and that's how you arrive at the 18.
Bryan Spillane: Okay, cool. Thanks, guys.
Operator: Thank you. Our next question comes from the line of Bill Chappell with Truist Securities. Please proceed with your question.
Bill Chappell: Thanks.
Billy Cyr: Hello?
Bill Chappell: Can you hear me?
Scott Morris: Now we can.
Bill Chappell: Good morning. It's just a follow-up on the pricing issue, I understand you're comfortable with the pricing and consumers are increasingly comfortable with the pricing, but what happens if you see more of the dry premium competitors roll back on price where the price gaps get bigger because that seems to be -- I know it's a different market and different product, but that seems to be a, I guess, a risk throughout packaged food in general that we started to see as costs come back, there's more promotions in the marketplace. So, any thoughts there?
Scott Morris: Yeah. So, Bill, I think you're right, I think that the reality is fresh food, Freshpet is kind of its own specialized universe. But at the end of the day, there's still, like, it's still a food marketplace. And there are certain, I think people have to get -- consumers have to get comfortable with basically what the value proposition is of what we're offering versus what they can get in dry, and -- but I do think that one of the things that we've seen which has been really amazing is we went up a very significant amount. Like, Billy quoted in the script, almost 27% price increase and to see the expansion that we're seeing in penetration and buying rate, it's extraordinary. And I really think it demonstrates the specialness of what we brought to consumers. I know, I do think that if people start doing a significant amount of promotion, I mean, it could have like a short-term disruption. But I think that we've been able to work through this really well in the past bringing what we brought to market. Now, secondarily, we actually made a handful of decisions over the past, literally six months, to make sure that we're continuing to offer the best value proposition we possibly can. And there's going to be some additional innovation that we're launching in the back of this year that will kind of address that and offer even better value to some consumers at parity-type margins for us. And then we'll also offer some new innovation in the beginning of next year. So I think your point is we're cognizant of that. We think we're at a really good place. We do know that there could be significant promotion going on in the category and we've tried to kind of forward think what we can do in order to kind of offset some of that. But overall, it has not -- we've seen a ton of activity in the past, it has not slowed our progress.
Bill Chappell: Got it. And I guess on the same vein for the follow-up, I know in the past you've done some, certain customers, do you feel the need to expand that even further if customers are price sensitive or are you very comfortable where you stand?
Scott Morris: So, Bill, you cut out just a tiny bit. You said something certain customers and I missed that. I think that was an important --
Bill Chappell: Yeah. I'm sorry. You're doing private label already for certain customers?
Scott Morris: Yeah. Okay.
Bill Chappell: And this is really was a need to expand that? Yeah.
Scott Morris: Okay, got it. Okay. So actually, I'm glad you brought that up. We have actually -- we've actually, based on what we're seeing in the market and where we are and the progress that or the lack of progress we've made with some of that private label, we're going to start, like, basically winding the majority of that -- of those offerings down. We've shared that with most of our customers. And there will always be some discussion, but if you think about the program where it is today, it's going to have, it's going to be significantly less over the course of next year. So we'll tighten that up. And when we have done the private label items, we've been able to actually, for the most part, have margins that are, I'd say, acceptable, they're not, they're definitely not leading by any means, but they've been acceptable to us. So, but overall we think we can, we better utilize that capacity towards some innovation and different things that we'd like to bring to market.
Bill Chappell: That's great to hear. Thanks so much.
Scott Morris: Thank you, Bill.
Operator: Thank you. Our next question comes from the line of Cody Ross with UBS. Please proceed with your question.
Cody Ross: Good morning. Thank you for taking our question. You guys have been able to re-accelerate volume growth in household penetration, but I just wanted to dig into the metrics you provided on slide 25. Your household penetration is up 10% on a 52-week basis, how does that compare to your plans coming into the year and can you just describe in detail for us more of your volume growth plans in the back half? What you're looking for from household penetration from here?
Scott Morris: Yeah. So it's a really good question. I think I had mentioned it in the very beginning when Mark was asking about the advertising. We actually got off to a slow start. January and February were a little bit slower than we would have liked to see from a household penetration standpoint but actually since March, we've seen that re-acceleration and it's actually, we're basically back on track to what type of level of performance we'd like to see in the cost to acquire consumer. So if you'd asked me that in March, we thought it was starting to turn, but it's now really turned and it's really clear which way the line is going, which is up into the right, which is terrific and we've actually posted some more recently, a couple of really, really good weeks and that's on a rolling kind of 52. So pretty big improvements and I think it's, a lot of its behind, again, going -- we're back in stock, we're back in stock consistently, we've got really good innovation. We've got great a great media plan and I think we have epic creative right now. The creative and the advertising that we put in place seems to literally have talk value and really be kind of well adopted and absorbed by consumers in the marketplace. So we feel like we're returning, I think Billy used the term earlier, we're returning to the historical growth algorithm.
Cody Ross: Got you. That's super helpful. And then I guess, Todd, just to put a finer point on a question that was earlier, do you think you can hit your revised EBITDA guidance that's higher now if you did not accelerate volume as you guys plan? And I'll pass it. Thank you.
Todd Cunfer: Yeah, look, I mean, so obviously, no change in our full-year outlook. So we're still, we're still holding to the $750 million level. So really no change in what we think the volumes are going to be for the full year. I would say that the re-acceleration happened a little bit later than we thought. Q2 got off to, it was perfectly fine, but wasn't as strong as we had hoped and but now that re-acceleration is a bit steeper than we originally thought. So where we are as we enter Q3, we feel terrific about. So again, no change to the full-year guidance, we thought we could hit that, just the curve is a little bit different than we originally anticipated.
Cody Ross: Thank you. Best of luck going forward. I'll pass it on.
Todd Cunfer: Great. Thanks.
Operator: Thank you. Our next question comes from the line of Rupesh Parikh with Oppenheimer. Please proceed with your question.
Rupesh Parikh: Good morning and thanks for taking my question. So just going back to the Ennis facility and the ramp so far, just curious, any positive or negative surprise as you continue to ramp that facility?
Billy Cyr: I guess I would say that, as you can imagine starting up a greenfield facility is always got ups and downs in it, and we've had our fair share of ups and downs as we've gone along. What I'll tell you is where we are today is we feel very good about the progress we made on the roll side of the business and it's going very, very well and the chicken processing is doing very well. The bag side of the business took a little bit longer and steeper to ramp up than what we would have hoped. We are now producing all the items in the line-up, we feel very good about that, but it took a little bit longer to get to the production levels that we wanted in qualifying all the items, and in part, that's why we've begun to do the staffing for the line, the next bag line. So we give ourselves a little bit more time to start that up. We need that to be producing in Q1 of next year. So we started adding some staffing now, so we can give ourselves a little bit more lead time on the ramp-up of the bag line. But other than that, it's going well. We feel good about it. As we said, it's over 20% of our production at this point. And for two lines, that's pretty darn good.
Rupesh Parikh: Great. And then maybe just one follow-up question for Todd. So you've beaten out EBITDA two quarters in a row by a significant margin. Just curious, if we see more upside in the back half of the year, would you consider reinvesting in the business or is there more a bias to let it flow through to the bottom line?
Todd Cunfer: Yeah, look, we have -- it's a very good question and we'll continue to evaluate the returns on additional media if we choose to go do that, but I just want to point out, even though almost two-thirds of the spending is first-half weighted, we have significantly more media in the second half this year than we do next year, I mean, we're going to be up about 40% year-over-year in Q3 and then as you know, we've spent very, very little in Q4 and we'll spend probably over $10 million in Q4 this year. So we have versus prior year and even previous year, we have a solid amount of media in the second half, but look, if we see an opportunity to invest more, we'll definitely take a look at it, but as you know, over time, we'd like that media as a percent of net sales to come down a bit to allow to get to our 18% EBITDA margin target in 2027, but we'll be smart if we see a great opportunity, we'll take advantage of it.
Rupesh Parikh: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Jim Salera with Stephens, Inc. Please proceed with your question.
Jim Salera: Hi, guys. Thanks for taking our question. Billy, I think in your opening remarks, you had mentioned that there was a 2300 bridge commitment from a single customer. If you could just give us some idea around what was the catalyst for them to make in order of that size. Is this something that they've been looking at, now is the right time for them or -- just give us some insight into why that decision now.
Scott Morris: Yeah. So I'll expand on that a bit. It's -- I think this is something that's been coming for several years. We actually put a strategy in place, probably about three or four years ago that we called Fresh First. And the idea was how do we get consumers to think about filling their pet foods bowl with fresh first and how the retailer start off the aisle with fresh first because of the inherent benefits in our business model, and I think what's happened is us talking about that and the progress that we've made on the consumer front and then finally being able to build in Ennis, have that customer come and visit there and see that we were going to have plenty of capacity, they got really comfortable going ahead and expanding. And it was an existing customer, very large customer, one of our top kind of five customers and wanted to expand and double down and really put in seconds and third fridges. And I think the core of it, and I've heard this repeated time and time again over the past maybe two years is retailers are looking around going the benefits that Freshpet food brings to their store and their aisle are the same benefits they see on the human side where they see increased traffic, new consumers, strong margins, a lot of dollars per consumer, and really an overall quality halo impact for their entire aisle. And I think they realize that and they realize that it's really advantageous for both their business and then the overall pet food aisle and they've made that decision along with lots of others. And I think we're going to continue to see many retailers kind of follow in behind them and add more and more fridges. I mean we have, we're going to have more, we'll have more fridges almost year-to-date that we've had in some years. So I think we're excited about the change and I guess it goes back to Todd's comment earlier, we've got to make sure that retailers are confident we can fill those fridges, and if they, if we can and we have been able to, then they are willing to put in more.
Todd Cunfer: Yeah, and let me just amplify that point, that this particular customer last July, Sante Group, starting at the buyer and the planner for the pet category all the way up to the CEO to Ennis to walk it and get convinced that we could supply them and they spent a better part of almost a full day with us and at the end, they came away convinced that we'll be able to supply them and we're willing to make that kind of commitment. So now that we've got good fill rates, they can see the net is there and it has the capacity, I would expect other customers to have the confidence to lean in and put more fridges in.
Jim Salera: Okay. Great. And then maybe as a follow on to that. If we think about the pet aisle in retailers and obviously, it varies a little bit from store to store, but given that the majority of your new fridges or second and third fridges, how much actual space is there in a lot of these? I mean, did they have to expand the pet aisles or is there enough in most retailers to accommodate a second and third fridge of the larger fridges?
Scott Morris: Yeah. So even in a grocery store, you'll see, just in dog food, you'll see typically, at least 40 feet to 48 feet. So there's -- that's just in the dog food section. So that -- there's plenty of room. And I think over time that we're going to continue to take more and more of the calories in the category and deliver kind of really strong metrics to the retailer. I think that there is plenty of opportunity and plenty of room for us to continue to expand for many years to come.
Jim Salera: Okay. Great. Thanks, guys. I'll pass it along.
Operator: Thank you. Our next question comes from the line of Jon Andersen with William Blair. Please proceed with your question.
Jon Andersen: Yeah, good morning. Thanks for the question. The past 18 months or so, perhaps even longer have been more oriented around building the capacity, enhancing fill rates, and getting in-stock levels back and I'm wondering to what extent you're now looking at it as innovation, as a key driver, maybe both in terms of kind of filling out the kind of value equation for consumers also targeting maybe some specific segments that you feel you've been underrepresented in? So your question is, I guess, what should we expect from an innovation perspective over the next 12 to 24 months and how does that kind of compare to what perhaps we've seen over the past 12 to 24? And then can you just provide a comment on your packaging restage? I think you've talked about packaging rework that's coming and some of the consumer test results around that. Thank you.
Billy Cyr: Yeah, I'm going to give you just a top-line comment and Scott can tell you about the innovation and the packaging. But the top-line comment is that all the capacity that we've built out has largely been focused on the existing bags and rolls line because we think the opportunity there is enormous and our projections are built upon that. Having said that, we have built flexibility into our system to be able to accommodate a little bit more innovation and if we get that, that's gravy to us, but we think the opportunity on the bags and rolls is absolutely enormous and so we're going to put the bulk of our attention and focus on continuing to maximize that opportunity. Having said that, there's a lot of innovation opportunities, we've got a very innovative team. So, Scott can just give you a little bit of color on that.
Scott Morris: Yeah, actually. So I'll start with the term that we use internally which is, there is innovation then there's renovation, renovating some existing products and making simple improvements. And then there's retirement. And we want to make sure that we're retiring things that aren't productive and productivity is on a pounds and but it's also something -- things around margin too. So we do think about it that way. We want to make sure that the innovation that we're coming with, we're making sure that we're making progress on margin over time. But the biggest single place that I would say the impact of what I would call innovation, which is a very, very big area, and we're literally looking at innovation and also renovation on our existing lines and making sure that they are more productive and that will give us the giant win in the future. So there is both teams are oriented constant stream of very smart innovation but it's tight, but also making sure that we're retiring some things that aren't productive and innovating and using that word on our overall production processes to make grow margins and increase throughput and really get to an overall better and better process for the company which will expand margins over time.
Jon Andersen: And the packaging restage.
Scott Morris: Thank you. Sorry. On the packaging restage, I believe it's going to launch in the beginning of, end of Q3, beginning of Q4, you'll start to see it kind of gently flow out. It seems to be, we don't do this -- we try and be very kind of thoughtful about these things every time -- I mean, some companies every time there's a new brand managers, there's a new package and we're try and do it every three to five years. We think what we're coming with is pretty significant step change, we test everything very, very thoroughly quantitatively. The quantitative test results that we've done over time tends to be incredibly predictive. So we think that it will be something that will be a support and help for us next year. And congratulations again to the sales team for their work and expanded distribution, the innovation team and that's broad, that's very broad here on the work that they've done, and then also the marketing team on not only the packaging, I mentioned the advertising earlier.
Jon Andersen: Thanks.
Operator: Thank you. Our next question comes from the line of Connor Rattigan with Consumer Edge Research. Please proceed with your question.
Connor Rattigan: Good morning, guys. Thanks for the question. So just wondering have you observed any noticeable pack mix shift across your portfolio to larger sizes? I mean, I know last year was a bit of an anomaly given the gas price issue, but from what I recall in the summer months typically consumers tend to shift to larger pack sizes as they're traveling and such. And if so, how should we sort of think about that in the context of the top line and gross margin?
Billy Cyr: Yeah, I don't think we've seen a whole lot of mix shift inside, there's a slight shift towards those on larger size in the most recent periods, but it's not, nothing that big. The biggest difference is the comment I made earlier which is there's a little bit more roles development this year than what we would have historically had, which is, it's obviously the more economical way to feed your dog. But even that's not very significant. So in terms of the margin impact, we don't have a huge difference between sizes, we do have a difference in margins between rolls and bags and rolls tend to have higher margins than the bags do.
Connor Rattigan: Okay, great. Thanks. And then also just, Scott, I just wanted to follow up on the comment you made earlier that consumers in non-measured channels are highly incremental. I mean, I guess is this kind of a result of your current media spend? I mean maybe it's just targeting those specific consumers or is this just a function of just a distribution roll out? And maybe if you have any data on that you can share on sort of, I guess, what these consumers look like maybe in terms of income and whatnot or if there are any different than your other consumers, that would be great?
Scott Morris: Yeah. Well, I'll answer the back half question first. So there really hasn't been much of a change in the type of consumer. So they're similar household income, $80,000 is kind of the average income. I mean it's, amazingly, like a lot of times people go, this must be for like very high-income households. What it comes down to is relationship with pet and the importance that people put on nutrition and that's for themselves and their family. So we're seeing a similar group of consumers that we kind of historically have seen across the business. Our belief is that there are certain consumers that tend to primarily shop for pet food in a specific store or channel. And as we've added some of that distribution whether it's through e-commerce or in some of the clubs, those consumers that are primarily shopping in that channel for pet food are now going, Oh, wow, there is a new product here, I have heard of it. So I think the media has been encouraging them, but they haven't been making that trip in a more traditional grocery channel, which we have much broader distribution in. So that's what we believe. And that's what we're, from everything we've been able to see that their primary shopping trip is in that channel. And now we're able to have them become part of the Freshpet family.
Connor Rattigan: Okay, great. Thanks for the color. Appreciate it.
Scott Morris: Thanks.
Operator: Thank you. Our final question this morning comes from the line of Robert Moskow with TD Cowen. Please proceed with your question.
Robert Moskow: Scott, how are you doing?
Scott Morris: Hey, there. Welcome to your new home.
Robert Moskow: Yeah, it's pretty great. I guess one last question. Todd, I think, you mentioned that you won't be committing capital to volume until you know for sure that the volume's there. Is there any way to quantify what kind of volume growth you'll need in 2024 to hit that threshold? It sounds like the next phase of Ennis is pretty much you're going to go, you're going to do it, but is it 5%, is it 10%, 15%? Is there any way to put a number around it?
Todd Cunfer: Around volume, Rob?
Robert Moskow: Yeah, volume. How much volume growth in 2024 would be the threshold to justify the next round of capital outlays?
Todd Cunfer: Yeah. So, as you know, the algorithm for us over the next five years is to grow the topline on average 25%. And for '24, I mean, we don't anticipate any additional pricing. So we'll have a little bit of a wrap-around on that last price increase that we took in February. But for '24, it's going to be almost all volume, so close to 25% the way we're seeing it right now will be volume growth for '24. So that's why, Billy made some earlier comments, we're starting to get that second bag line in Ennis staff sooner rather than later because we're seeing acceleration right now and again we're anticipating a lot of volume growth over the next couple of years.
Robert Moskow: Okay. Go ahead.
Billy Cyr: And, Rob, if I could add to it is, we already have, as we said in the comments, Phase 2 is under construction, we split Phase 2 into two pieces. So there are two lines in the first part of Phase 2. Recall though, we also have some other lines in the system that are not fully utilized right now, so the reality is, what we said is when the projects that are already committed, we have up to almost $1.5 billion in capacity. So all you have to do is look at that and say that's what's committed and how long it will take us to grow into that and then recognize that when you need anything beyond that, you need an 18-month lead time to do it at a minimum, depends whether it's a building or a line, but you need about 18 months.
Robert Moskow: Okay. Well, I guess, that's kind of the nature of the question. Like, if volume is only say 15% in 2024, what does that mean for the capital allocations that you've put out there? Is there enough flex in the system to tamp it down in an event like that?
Todd Cunfer: Yeah, there's two ways to tamp it down. One is we will slow CapEx spending. We're obviously we're not anticipating that we're going to slow to that degree, but for some reason we did, we would absolutely slow down our CapEx spending for the next year. The second one is we have flexibility on how many of these lines that we would staff. So if we're not seeing the growth that we're anticipating, we will not staff all those lines, but again, from what we're seeing right now, we anticipate very, very strong growth.
Robert Moskow: Yeah. I agree. All right. Thank you very much.
Todd Cunfer: Thank you.
Billy Cyr: Thank you.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Mr. Cyr for any final comments.
Billy Cyr: Great. Thanks, everyone, for your interest and your time. I'll end with a thought for you from the author Karen Davidson. She said, a dog can express more with his tail in minutes than an owner can express with his tongue in hours. To which I would respond feed them Freshpet and their tail won't stop talking until it's time for the next meal. Thanks, everyone. Thanks for your interest.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.